Operator: Good day everyone and welcome to the Extreme Networks First Quarter 2015 Earnings Results Conference Call. This call is being recorded. With us today from the company is Chuck Berger, the Chief Executive Officer; Ken Arola, the Chief Financial Officer; and [Erik Bylin] [ph] from Investor Relations. At this time, I’d like to turn the call over to Erik. Please go ahead, sir.
Erik Bylin: Thank you Nicholas and welcome to the Extreme Networks first quarter fiscal year 2015 earnings conference call. This conference call is being broadcast live over the Internet and is being recorded on behalf of the company. Should you wish to not be recorded, please do not ask questions during the Q&A. The recording will be posted on Extreme Networks’ website for replay shortly after the conclusion of the call. The presentations and recording of the call are copyrighted property of the company, and no recording or reproduction is permitted unless authorized by the Company in writing. By now, you’ve had a chance to review the Company’s earnings press release. For your convenience, a copy of the release and supporting financial materials are available on the Investor Relations section of the Company’s website at extremenetworks.com. I would like to remind you that during today’s call, management will be making forward-looking statements within the meaning of the Safe Harbor provision of the federal securities laws regarding business and financial outlook. These forward-looking statements involve a number of risks and uncertainties, some of which are beyond our control, which would cause our actual results to differ materially from those anticipated by these statements. These forward-looking statements apply as of today and you should not rely on them as representing our views in the future. We undertake no obligation to update these statements after this call. For a detailed description of these risks and uncertainties, please refer to our most recent report on Form 10-K filed with the SEC, as well as our most recent Form 10-Q filed with the SEC in addition to our earnings release posted just a few minutes ago on our website. Throughout the conference call, the Company will reference some financial metrics that are derived in accordance with Generally Accepted Accounting Principles or GAAP, all other metrics are not in accordance with GAAP. This approach is consistent with how management measures the Company’s results internally. However, non-GAAP results are not in accordance with GAAP and may not be comparable to non-GAAP information provided by other companies. Non-GAAP information should be considered as supplement to, and not a substitute for, financial statements prepared in accordance with GAAP. Reconciliation of the non-GAAP information to corresponding GAAP measures is in our earnings press release issued today. In preparing non-GAAP information, the Company has excluded, where applicable, the impact of acquisition and integration costs, purchase accounting adjustments, amortization of acquired intangibles, and share-based compensation. Now, I’ll turn the call over to Extreme’s CEO, Chuck Berger, for some opening comments.
Charles Berger: Thank you, Erik. While we faced a number of challenges in our first fiscal quarter, we also took a number of actions that positioned us well for the remainder of the fiscal year and beyond. We completed the bulk of the IT operational and program integrations related to the acquisition of Enterasys. We also completed the executive staff transition with the addition of Jeff White as Chief Revenue Officer. And our reseller partner, Lenovo, completed the acquisition of the IBM X86 server business. Taken together, we continue to be optimistic about the future potential for Extreme Networks. Exceeding our revised guidance non-GAAP revenues were $137.1 million. Non-GAAP earnings per share were a $0.01 loss, the midpoint of the revised range. Our cash position was flat to the prior quarter. Ken will give you the financial details in a few minutes. With the exception of the Asia Pacific region, we saw a significant number of deals slip beyond Q1. We believe many of these deals were closed in the second fiscal quarter. This was particularly impactful in North America. However, we also saw delays as a result of political unrest in Mexico, Brazil and our Eastern Europe and Middle East regions. Additionally, the weakening of the European currencies had a $3 million negative impact on revenues, gross margins and net income. Given the number of downward revisions in the networking space for the September quarter, it is clear that we are not the only networking company impacted by these issues. During the quarter we also selectively reduced our number of distributors focusing on those that can deliver the best value to Extreme and our partners, and increasing our critical mass with the selected distributors. We launched a new partner program, an agreement bringing all of our partners under a single set of business terms that provides stronger incentives for growth, focus on our key strategic goals and investment in the Extreme product line. Finally, we launched new service programs across all of our products. The new programs eliminate terms that were unfavorable to Extreme and are structured to encourage our partners worldwide to focus on increasing service attach and renewal rates. On the IT side, we completed the integration of SAP, the legacy Enterasys ERP, into a single instance of Oracle early in the quarter as planned and two months ahead of the original schedule. This now provides a single interface to our channel, our vendors, our auditors and finance staff and our employees. Earlier in the calendar year we completed the integration of our sales and marketing automation systems, providing critical functionality that was non-existent at Extreme when I joined. Our finance team successfully completed the first year end audit as a combined company and published our 10-K on time. All of these accomplishments paved the way for further cost reductions in finance and IT that we will begin this quarter. On the operations side, we closed our Elgin, Illinois distribution center, saving the cost of operating the facility. Our remaining three distribution centers are all located at major sea ports allowing us to continue to reduce the amount of product we ship via air, which is nearly seven times more expensive than oversea transportation. We reduced our number of service depots from approximately 180 to less than 140 and eliminated two of the three service logistics vendors resulting in added leverage with the remaining vendor. Finally, the benefit of reduced component and assembly cost began to have impact in the first quarter, and will continue going forward. While I am very pleased with the execution and timeliness of all of these changes, it is safe to say that virtually every part of our business and the interface between our partners, customers and Extreme were disrupted in a significant way during the quarter and contributed to the disappointment on the top line. For the most part these disruptions are now fully behind us. On the product side, we continue to innovate. We recently released the Extreme X460-G2. This is by far our most powerful and cost-effective edge switch that is SDN and 802.11ac Wave 2-ready. We also began shipping our IdentiFi 3805 access point, our most affordable AP, delivering IdentiFi functionality to cost-sensitive markets including K-12 and Higher Ed. All that said, clearly there are challenges on the top line and to return to revenue growth. I cannot tell you enough how excited I am that Jeff White has joined Extreme Networks. Jeff was at Cisco for 17 years where he was clearly a fast-rising star. He is a true sales leader and has already had a strong impact in his first few weeks. Jeff fills a gap that has existed for a very long time here at Extreme and completes the transition of the exec staff I began over one year ago.
 : As mentioned in the past, E-rate funding for network infrastructure has been reinstated effective April 1, 2015. We are well ahead of the curve on developing programs to ensure we maximize our business under this program. We also had a dominant presence at EDUCAUSE, one of the largest events for the K - 12 market during the quarter. While there is nothing new to report with our Ericsson relationship, we continue to believe it has strong potential for substantial growth. It is just difficult to predict the timing at this point. Strong sales leadership, new partner in service programs, advancing Lenovo relationship, return of E-rate and continued new product introductions give us confidence in our ability to improve our top line performance going forward. Coupled with strong focus on realizing the promised synergies from the acquisition and ongoing focus on cost reductions across the board we expect to see substantially improved bottom line performance as well. We stand by our commitment for 10% year-over-year revenue growth by the fourth fiscal quarter at a 10% operating margin or better. I will now turn the call over to Ken Arola, our Chief Financial Officer, to provide the details of the first quarter and guidance for the second. Ken?
Ken Arola: Thanks, Chuck. As I walk through our Q1 fiscal 2015 results today, I’d like to remind you that this is the third quarter we are reporting full quarter combined results. When I mention year-over-year comparisons, I am doing so on a pro forma basis as if the two companies were historically one. With that, let’s review our first quarter financial results starting with revenue. In Q1, GAAP revenue was $136.3 million, compared to $155.3 million in quarter four. Q1 non-GAAP revenue was $137.1 million and compares to $156.9 million in quarter four and a $164.1 million in Q1 of last year. Total revenue was below our expectations due to weakness on the product side as our service revenue came in at plan. GAAP and non-GAAP product revenue was a $102.7 million, compared to a $121.8 million in quarter four and $128 million in Q1 last year. As Chuck just mentioned in North America product revenues came in below expectations as a significant number of larger deals were delayed and pushed out of the quarter. The Latin America region was impacted by the political climate that caused delays in the public tender process and ultimately pushed deals out of the quarter. In EMEA, our product revenues were dampened by the weakening of the euro against the dollar and the impact of $3 million to revenue, gross margin, and net income. We also saw orders delayed due to the political situation and economic conditions in Eastern Europe, Russia, and the Middle East. On a positive note, our Asia Pacific product revenues were on plan in Q1. Although, many deals were pushed out of the quarter, they remain in the pipeline and we are confident in our ability to compete for these deals that were delayed from quarter one. As mentioned, service revenue was on track with our expectations for quarter one. GAAP service revenue was $33.6 million compared to $33.5 million in quarter four. Non-GAAP service revenue for quarter one was $33.4 million compared to $35.1 million in quarter four and $36.1 million in Q1 last year. Turning to our geographic splits, Americas revenues were 48% of total revenue compared to 54% in Q4. EMEA’s revenues were 40% of total revenue compared to 36% in quarter four. Our Asia Pacific revenues were 12% of total revenue compared to 10% in quarter four. Moving onto gross margin and operating expenses. In Q1, GAAP gross margin was 51.8%, compared to 53.4% in quarter four. Non-GAAP gross margin was 55.6% above our target of 55% and compares to 56.9% in quarter four and 57.8% in Q1 last year. Gross margins were favorably impacted by several factors, including our ability to hold price during the quarter, a full quarter’s benefit from the reduced product cost resulting from pricing negotiations with our key suppliers, and savings related to the consolidation of distribution warehouses last quarter. However, a number of effects had a negative impact on gross margin including lower than expected revenues, unfavorable foreign exchange rates and approximately $1 million in excess and obsolete reserves primarily for obsolete wireless products. Q1 GAAP operating expenses were $87.7 million compared to $96.4 million in quarter four. Q1 non-GAAP operating expenses were $75 million at the low end of over guidance and compares to $78.1 million in Q4 2014 and $77.2 million in Q1 2014. Q1 sales and marketing expenses included the impact of holding our European and Asia-Pac partner conferences and [a SPIF] [ph] designed to drive revenue in the quarter. Q1 G&A included approximately $1 million in cost related to bad debt reserves for aged Enterasys receivable and cost related to the first year-end audit of the combined companies. First quarter GAAP operating loss was $17.2 million, compared to a loss of $13.4 million in quarter four 2014. First quarter, non-GAAP operating income was $1.2 million or 0.9% of revenues, compared to $11.2 million or 7% in Q4 and $15.5 million or 9.4% in Q1 last year. GAAP net loss for quarter one was $19.3 million or $0.20 per share, compared to a net loss of $16.2 million or $0.17 per share in quarter four. Non-GAAP net loss for the quarter was $900,000 or a negative $0.01 per share and compares to non-GAAP net income of $8.5 million or $0.09 per diluted share in quarter four and $14.5 million or $0.15 per diluted share in Q1 2014. Now turning to the balance sheet, Q1 cash, cash equivalents, short-term investments and marketable securities were $104.5 million relatively flat from a $105.9 million at the end of last quarter. In the quarter, cash flows from operations were $1.6 million, down from $3.8 million in the prior quarter, and down slightly from $1.9 million a year ago. Accounts receivable were $100 million at the end of quarter one, down roughly $25 million from last quarter and DSOs fell to 67 days this quarter from 72 days last quarter. To wrap up comments on the balance sheet, inventory was down $1.8 million from last quarter to $55.3 million as a result of our continued focus on right-sizing of inventories. We are in compliance with all bank covenants at the end of the quarter and foresee no issues in continuing to be in compliance going forward. Before I move to guidance, I want to remind you that we remain committed to year-over-year revenue growth of 10% and 10% operating margin in the fourth quarter of 2015. Also as we developed our view of Q2, we gave consideration to the challenging market conditions in the networking industry we’re facing today. With that, let’s review our Q2 guidance. GAAP revenue is expected to be in a range of $139 million to $149 million and non-GAAP revenue in a range of $140 million to $150 million. GAAP gross margin is expected to be 52% to 52.5% and non-GAAP gross margin to be in a range of 55.5% to 56%. Operating expenses are expected to be in a range of $84 million to $86 million on a GAAP basis and $73 million to $75 million on a non-GAAP basis. We continue to be highly focused on reducing operating expenses particularly in G&A, now that we have completed the ERP integration in our first combined company year-end audit. In addition to a strong focus on returning top-line growth, Jeff White, our new Chief Revenue Officer, is equally focused on reducing our sales expenses as we go forward. We continue to track to realize the full $30 million to $40 million in synergies expected from the Enterasys acquisition. Our GAAP net loss is expected to be in a range of $9.5 million to $13.5 million or a negative $0.10 to $0.14 per share. Non-GAAP net income is expected to be in a range of $3 million to $7 million or $0.03 to $0.07 per diluted share. The GAAP and non-GAAP net income ranges are based on an estimated 97.5 million and 100.5 million average shares outstanding respectively. I’ll now open the call for questions.
Operator: (Operator Instructions) And our first question comes from the line of Matt Robinson with Wunderlich. Your line is now open. Please proceed with your question.
Matthew S. Robison – Wunderlich Securities: Hi, thanks for taking the question. Give us some color on – you said, you think the deals can close this quarter on some of the ones that slipped. Can you give us some color on what you’ve been able to close so far and what the primary – and kind of maybe give us a sense of rating the factors that were most impactful in terms of deal slippage in North America?
Charles Berger: Sure, we’ve already seen – although we can’t disclose specific dollar amount we’ve seen a number of large deals close this quarter already, particularly a very large one in Latin America, where frankly we’ve faced our most challenging situation in the first quarter. As I said in my comments, outside of North America what we saw mostly was political unrest, particularly frankly in Latin America, in the Brazilian marketplace, and to some extent the Mexican marketplace. In Latin America, we’re just continuing to see what I’ve been talking about on almost every call, which is very careful decision making, generally no particular urgency and we pushed our customers hard, we give them incentives to close business in the quarter. And while we’re not losing these deals, they are just taking it longer to get done. I would add to that that every deal needs multiple layers of approval. We have a one very large deal in North America for nearly $2 million, where they just couldn’t get to the final level of approval during the quarter because that person ended up in the hospital with pneumonia, which wasn’t a common problem across our customer base. But mostly issues of getting through the layers of management to get approval in probably at least half of the situations we face in North America.
Matthew S. Robison – Wunderlich Securities: So, you think with the additional management resources, you can execute a little there just by trying to touch more people in the quarter to get things done. Is that something we could reasonably hope for?
Charles Berger: Well, I think it is safe to say under Jeff White’s leadership our skills for enterprise selling will be improved substantially and strong sales forces find the people who need to get in the approval cycle and at least try very hard and then often are effective at making sure that they are lined up in the right place, in the right time to get the job done.
Matthew S. Robison – Wunderlich Securities: How impactful was the distribution – the changes in the distribution channel on getting business done?
Charles Berger: Outside of Brazil I would say it was just the reduction in number of distributors was relatively seamless. Most of our partners deal with multiple distributors anyway. And most of our distributors are very adept at signing up new partners in hours and days, not days and weeks. So any partner that had to go find a new distributor, I don’t think had a very challenging time. I would say more disruptive was the fact that every partner had to sign a new partnership agreement, which meant understanding the terms and whether or not they wanted to sign it, which we found very little resistance to, but also learning how to do business with Extreme in a different way. And that frankly affected 100% of our partners, because the partnership agreement was different for both legacy Extreme and legacy Enterasys partners, aggregating that for the legacy Enterasys partners is, more so on the distribution side is they were dealing with a new ERP system, new interfaces, and that certainly had an impact.
Matthew S. Robison – Wunderlich Securities: Thank you. I’ll yield the floor.
Charles Berger: Thanks, Matt.
Operator: Thank you. Our next question comes from the line of Simon Leopold with Raymond James. Your line is now open. Please proceed with your question.
Simon Leopold – Raymond James: Thank you. On the last call you sounded, I thought a bit more upbeat on the wireless LAN business. This call, less commentary on that topic other than mentioning some obsolescence being written off. Could you give us an update on your views on the wireless LAN business? And I think in last quarter it was over 10% of revenue, if we could get an update of the contribution this quarter.
Charles Berger: Sure. It’s held at roughly 10% of revenues. So unfortunately we have not seen growth in that segment. A big part of that segment for us is the education market, which – this is not the seasonal buying time for them. We do have incentives in place both with our resellers and with our direct sales people to continue to promote wireless. And as I mentioned, we introduced lower priced access point which I think will be critical for us in some international marketplaces as well as the education marketplace. So, we still see that as a growth market opportunity that we plan to invest in and growing our business.
Simon Leopold – Raymond James: And typically what’s the normal level for your education market in terms of percent of revenue?
Charles Berger: It’s typically in a quarter about 25% of revenue roughly, evenly split between Higher Ed and K-12.
Simon Leopold – Raymond James: Great. And then the other day, there was some new speculating on Hewlett-Packard’s switch business possibly being sold in China, the old 3Com business. I’m just trying to figure out whether or not this means anything at all to you and your position with Lenovo. Are there scenarios that you could think of where this either is a headwind or tailwind for the Extreme/Lenovo relationship?
Charles Berger: First of all, I’m not sure I trust the rumors that this is something that HP is actually interested in divesting in. The H3C subsidiary they have there is viewed as a local supplier, not an American-owned supplier. They are the second largest market share in the Ethernet networking space in the Chinese marketplace, I believe, and it’s hard to imagine that they really are interested in selling that. That said, if they were to, I think it only – if Huawei were to buy it who could certainly be a logical buyer, it would just give them a larger market share, and Lenovo will continue to be – do everything they can to beat Huawei wherever they can. It’s hard for me to imagine at this point given where we understand Lenovo to be in terms of their understanding of the networking business and their plans for the enterprise business that they would buy it. However, if they did, that would obviously not be very good for us, because I think one of our biggest opportunities with Lenovo is in the Chinese marketplace. So we need to see how that unfolds, but at this point I think it’s awfully early to tell if it even happens.
Simon Leopold – Raymond James: And then just one last modeling question. In terms of the cost synergies in the operating expense trends, the guidance you’ve offered us for the December quarter, should we look at that as the we’re all done level, the post synergy level, and from this point on we should model with normal seasonal patterns?
Ken Arola: So Simon, this is Ken. In the G&A area, I think you’ll see some additional cost reductions as we move through the year. The less at least for the last half of the year than the next quarter or two. As I said on the call with Jeff on board, now we’re really focusing on the sales organization to see what we can do to streamline in that area as well as drive more efficiencies into the business as well.
Simon Leopold – Raymond James: Great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Christian Schwab with Craig-Hallum. Your line is now open. Please proceed with your question.
Christian Schwab – Craig-Hallum: Great, thank you. Chuck, as you’re looking towards your guidance for the December quarter, what percentage of that growth is deals coming back versus market growth versus a recovery in EMEA?
Charles Berger: Well, we certainly took all of those into effect, including the fact that from our position, and certainly it would seem to be the case given the number of revised guidances in this industry including another miss yesterday that there is a challenging economic environment here. So what we do every quarter is, each of our geographies do a bottom-up forecast of the deals they think they can close. We’re confident in the range we provided. Based on that, a portion of that which we won’t break out is deals that we hoped for in the first quarter, many of them right up to the last week of the first quarter, and as well as new business, particularly some new opportunities we have in the venue business, which by the way during the quarter we closed two smaller deals, because the arenas are smaller with a major NBA franchise and a major National Hockey League franchise. So a lot of variables in that, including concerns with some of these economic – or market pressures continue.
Christian Schwab – Craig-Hallum: Okay. As it relates to your 10%, keeping the 10% operating margin target for June of next year, which would require some additional growth from the level that we’re guiding for in December. When we get to that range in June, your conviction in the June quarter number, is that more driven by E-Rate, and success there or Lenovo?
Charles Berger: Frankly, Christian, I think you can take anyone of three or four things and say by themselves they could come close to making that growth happen, certainly strengthening substantially our sales leadership. And again, Jeff has hit the ground running, and we’ll hear more from him in the next couple of days literally as he advances his organization and makes progress in the company. Secondly, E-Rate took about $12 million of revenue out of our fourth quarter this year, $18 million for the total year. That by itself isn’t the full 10% we need if we just get that back, but if we get that back and possibly more back, that alone do it. And then Lenovo is certainly -- by then, we believe will have double-digit revenue impact. And finally, the effect of these new channel programs, which by the way include a pretty substantial goal on our channels organization to recruit over 100 new highly qualified channel partners by the end of the fiscal year. All those factors together make us feel pretty comfortable with that number, and again a couple of them, I think alone could make it happen.
Christian Schwab – Craig-Hallum: Great. No other questions, thank you.
Charles Berger: Thanks, Christian.
Operator: Thank you. Our next question comes from the line of Alex Henderson with Needham. Your line is now open. Please proceed with your question.
Alexander B. Henderson – Needham & Company, LLC: Thanks, a couple of questions. First, can you sort of step through the Slide 12 on your website on the data center, wireless LAN service provider, SDN and high performance computing segments, and talk a little bit about what kind of growth you think you’ll get over the next year in those parts of your business since you’re highlighting them as growth opportunities or can you capitalize on those?
Charles Berger: So, I don’t have the slide right in front of me, but as we have said in the past, we see the growth opportunity in wireless to be in the 10% range, and the growth percentage in the data center to be just below that. We have not yet attained those growth rates, but we are focusing virtually our entire strategy both from a product standpoint and go-to-market standpoint to get to those levels, particularly in data center, all of the business we do with Lenovo is data center business against that $5 billion server market – server revenues that they now have, and $1 billion of networking equipment that drags along with it. The service provider market, we are relatively small in that. Now, in fact in the U.S. we’re almost non-existent. Outside the U.S. we are – we’ve got a couple of big wins in regional IXPs like LINX in London and SK Telecom in Korea and a couple in Latin America. It’s great to look at the 67% growth in software-defined networking. That is off an almost non-existent base. I think we have an incredibly strong SDN story, and I think we can look to maybe have that number in terms of the growth rate of NetSight and Purview sales, which are certainly two foundation stones to our overall SDN strategy. And finally, the HPC market, first of all we expect this quarter to have a pretty substantial announcement in that space. Our biggest competitor there frankly is Arista, which is where they have focused almost 100% of their energy. So I think that will spill over into what we do in the data center, and cause datacenter to grow. But I wouldn’t say we’re going to reach the full 15% of that market’s forecast to grow at.
Alexander B. Henderson – Needham & Company, LLC: So playing off of that, can you talk a little bit about two things; one, where you are in developing a UCS-like product that you could sell in conjunction with Lenovo into the China market, and two, the progress of the Summit X770’s top-of-the-rack switch, how has been the response for that product?
Charles Berger: So our current relationship, as I’ve said in the past with Lenovo is selling into the installed base that they have just bought, which is not a UCS architecture-like installed base. It’s an Intel, highly-fungible server business. And that said, we’ve had extensive meetings between the CTO at Lenovo and our CTO. As we look forward to finding ways to create differentiation in the market rather than just preplugged and played converged solutions, so nothing specific there but we certainly are looking in that direction with them.
Alexander B. Henderson – Needham & Company, LLC: So, just a follow-up on that, before you go on to the Summit question, what would you say the size of the opportunity in China to sell a UCS-like product might look like in terms of scale if they were to go after that market?
Charles Berger:
 :
Alexander B. Henderson – Needham & Company, LLC: To the extent that Cisco is pretty much blocked from selling anything into that marketplace, it seems like there ought to be a vacuum that needs to be filled there, and there are a lot of web 2.0 players that would have large scale data center environments that might need that. Can you address the Summit 770 question, what the uptake and what the response from the field has been on that product which has now been out for a while?
Charles Berger: Response has been great. People like the performance. Revenues are ramping, but we’re still at the early stage of that product life cycle. I think X460-G2 that we just introduced will not compete with that, because it’s more of an edge switch, but certainly the 770 is getting strong reception in fact for looking at a large opportunity at a major university with that right now.
Alexander B. Henderson – Needham & Company, LLC: Okay. So last question, and then I’ll cede the floor. So when you’re talking about this June 10% operating margin target, is there a revenue associated with that that is necessary to get to that 10% or would you then – if you didn’t come to those revenue targets or not looking like you’re going to get to them, would you then step up cost cutting in order to drive that percentage in lieu of the revenues? How do we think about the give and take between those two? And when we go from that 10%, is that the year-end fourth quarter number? Should I think of that as an ongoing run rate from there or is that a seasonal peak that’s temporarily achieved and then not sustained? Thanks.
Charles Berger: Obviously, a couple parts to that. So first of all, to fulfill our commitment to get to the 10% revenue growth, we would have to hit about $172 million in revenue gauging that off the fourth quarter FY 2014 results. And our plan is to actually do that. That said, we realize that’s a seasonally high quarter for us. So in order to hit our third target, which is to make that operating margin sustainable, we’re going have to continue to take costs out to accommodate the seasonal lows that we have usually to a smaller degree in the September quarter and then certainly in the March quarter. But our goal beyond 2015, as I’ve said very generally is on a full year basis be able to sustain that operating margin in FY 2016.
Alexander B. Henderson – Needham & Company, LLC: Great, thank you.
Operator: Thank you. Our next question comes from the line of Rohit Chopra with Buckingham. Your line is now open. Please proceed with your question.
Rohit N. Chopra – The Buckingham Research Group Incorporated: Thank you very much. I have three questions, if you don’t mind. Ken, we talked not long ago about currency, I just want to – I thought it was hedged and I just want to get a sense of what is actually hedged when you mentioned there is $3 million currency impact. I will start with that question and move on after that.
Ken Arola: Sure, most of our hedging that we do right now is in relation to a lot of the intercompany transactions that we do within the company, so it doesn’t show up on the revenue line itself. So specifically in Europe, we’re building the Euro or the British pound predominantly. So as exchange rates move around, which they did this past quarter from about mid-130s euro to the dollar to about 125.8 currently, it had about a 4% or 5% impact overall on revenues on a quarter-over-quarter basis, but the movement of the euro to the dollar as it weakened against the dollar. But again, we don’t do extensive amount of hedging in relation to our revenues.
Rohit N. Chopra – The Buckingham Research Group Incorporated: All right, it sounds like it’s mostly quarter-to-quarter, that’s what’s happening?
Ken Arola: Correct.
Rohit N. Chopra – The Buckingham Research Group Incorporated: Okay. And then the other question I had was as far as E-Rate I don’t want to belabor this point, I think everyone has talked about it enough. But have you noticed any of the education verticals, let’s say specifically K-12 maybe passing to try to push through projects under the E-Rate fiscal 2015 subsidies, where that will get a little bit more dollars or where there is more dollars to be thrown around. But I know there is some seasonality, but has there been anything worse than seasonal in the K-12 or any pauses?
Ken Arola: Well, first of all, I could realize the E-Rate is not the only source of funding for these schools and some of them just can’t wait. That said, it is a highly, highly seasonal business. So it’s a little hard to see if there is a trend there. I’m sure there are certain school districts who are holding off in hopes of getting approval for E-Rate funding, but it’s a much larger market than the $1 billion of E-Rate funding that’s been tagged for 2015. So, we saw a very enthusiastic response at EDUCAUSE back in August, the largest or one of the largest K-12 conventions. I am not hearing from my field right now that delays hoping for E-Rate funding in April are having a material impact at this time.
Rohit N. Chopra – The Buckingham Research Group Incorporated: Great. And then the other question I had for you Chuck is more related to Lenovo, and I know everyone has asked a lot of questions on this, but I wanted to ask specifically about some IBM assets they acquired. And I think you know my question, but you’ve had extensive discussions with Lenovo, and I just wanted to get a sense if you know what they want to do with their -- with now the newly acquired blade network technologies asset. Is that important to them, or is that something that you can work with, or is there any overlap? I mean maybe just enlighten us on what you think they want to do with that asset?
Charles Berger: Sure. And I need to be mindful of non-disclosure here. But 85% plus of the BNT revenues are from blade switches or blade servers, which is not a product space that we’re in, or that we, however, plan to compete in. So there is not much overlap there. They do have a one top-of-rack switch that I would say is in our first-gen X670 class, certainly not in the X770 class. But there are a number of potential places where we could exchange technology or help them upgrade technology, and you can assume that all of those are in discussion right now, but I think more than any other part of the business, Lenovo is just figuring out what they got there.
Rohit N. Chopra – The Buckingham Research Group Incorporated: Sure, that makes sense. I appreciate that. Thank you very much.
Charles Berger: Thanks Rohit.
Operator: Thank you. Our next question comes from the line of Mark Kelleher with DA Davidson. Your line is now open. Please proceed with the question.
Mark Kelleher – DA Davidson & Company: Great, thanks for taking the question. Just some clarification, just to go back to Lenovo again, that deal closed several weeks ago, are you selling into the IBM installed base with Lenovo right now?
Charles Berger: The deal closed three weeks ago, if you want to stretch it, four weeks ago. As you can imagine, Lenovo was in a 3-point stand to move as quickly as possible to integrate, but I would say they are still on the early stages of integrating. We are certainly building pipeline with both the IBM side of the business and the Lenovo side of the business. But the reason we’ve guided that this is a more material event in the fourth quarter, fourth fiscal quarter, is they’ve got a pretty big integration job ahead of them. And I’m sure there’s a lot of still standing in place on what does my new comp plan look like? What does it mean to me to be comped on EMC and Extreme, which was not part of the IBM comp plan before. So yes, the deal closed, but it’s a $5 billion business, and it’s going to take a while for us to ramp.
Mark Kelleher – DA Davidson & Company: Right that’s what I was going to next, it was the hurdles to that ramp and you kind of touched on some of those. Would the hurdles be on the Lenovo side or do you have to educate their sales force as there are other things that you’re doing to accelerate that ramp?
Charles Berger: Yes, a number of things, and we’ve been working at this for well over a year now. We think we’re well positioned as this integration evolves. You wouldn’t think some of these things would be hard, but Lenovo is a very big company and getting all of our products or at least our data center products on their price list and getting part numbers and getting the ability for Lenovo sales reps to order them to the Lenovo order entry and delivery process has largely been completed globally getting internal sales reps that our Extreme employees sitting side by side with people in North America and China has been accomplished. Attendance and training at global sales conferences for Lenovo has happened. So there is a number of things that we’ve done in addition, as I mentioned, there has been technology exchange discussions, and we’ve certainly worked to the extent we were able to with parallel path with some of the IBM assets as well. So everything that – we didn’t wait for the October 1st start gun to go and begin the race then, this is really a race that we put a couple laps on the track over the last 14, 15 months, but again I think there is a lap or two to go before we see meaningful volume.
Mark Kelleher – DA Davidson & Company: Okay, great thanks.
Charles Berger: Thanks, Mark.
Operator: Thank you. And with that I’m not showing any further questions in the queue. I’d like to turn the call back over to the speakers for any closing remarks.
Charles Berger: Again, thank you everyone for joining the call today. Well, our top-line performance fell short of expectations. We accomplished an enormous amount during the quarter that we think positioned us well for this current quarter and beyond that towards our commitments coming towards into the second half of this year and beyond. I look forward to talking to you again next quarter.